Operator: Good morning, ladies and gentlemen. Welcome to the Hexcel Third Quarter 2023 Earnings Conference Call. At this time all participants are in a listen-only mode, and please be advised that this call is being recorded. After the speaker's prepared remarks, there will be a question-and-answer session. [Operator Instructions]. Now this time I would like to turn the things over to Mr. Patrick Winterlich, Chief Financial Officer. Please go ahead, sir. 
Patrick Winterlich: Thank you, Paul. Good morning, everyone. Welcome to Hexcel Corporation's third quarter 2023 earnings conference call. Before beginning, let me cover the formalities. I want to remind everyone about the safe harbor provisions related to any forward-looking statements we may make during the course of this call. Certain statements contained in this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. They involve estimates, assumptions, judgments and uncertainties caused by a variety of factors that could cause future actual results or outcomes to differ materially from our forward-looking statements today. Such factors are detailed in the company's SEC filings and last night's news release. A replay of this call will be available on the Investor Relations page of our website. Lastly, this call is being recorded by Hexcel Corporation and is copyrighted material. It cannot be recorded or rebroadcast without our express permission. Your participation on this call constitutes your consent to that request. With me today are Nick Stanage, our Chairman, CEO and President; and Kurt Goddard, our Vice President of Investor Relations. The purpose of the call is to review our third quarter 2023 results detailed in our news release issued yesterday. Now let me turn the call over to Nik.
Nick Stanage: Thanks, Patrick. Good morning, everyone, and thank you for joining us today as we share our third quarter 2023 results. Continued strong demand in our Commercial Aerospace and Space and Defense markets resulted in another consecutive quarter of double-digit sales growth for Hexcel. Hexcel continues to benefit from the post-pandemic travel recovery and from the growing pull for newer, more fuel-efficient lightweight aircraft to meet that demand and to replace aging fleets. Over the past several months, numerous airlines around the world have placed a significant number of orders for both narrowbody and widebody aircraft, resulting in total backlogs that are at record levels. Hexcel is on a long-term growth trajectory, and we are working hard to ensure that we are ready to satisfy that demand. This involves bringing back operational capacity, which has been either turned off or running at reduced rates since the pandemic. We have been recruiting the talent we need to meet the strong demand ahead of us, and we continue to focus on training and expanding shop floor experience to prepare for the higher production rates. We're excited about the growth opportunities ahead, and we expect that growth to drive significant cash generation over the next several years. As a reminder, we continue to expect capital expenditures to remain below $100 million for the next few years as we grow into, and reutilize existing plant and equipment. Third quarter sales grew strongly year-over-year, and they also reflect the normal third quarter seasonality we typically experience from the European summer vacation period. In addition, there are some ongoing supply chain challenges in the commercial aerospace market as the OEMs navigate their way through the strong ramp-up in build rates.  Given our higher number of production assets in service today, along with the preparation to support strong growth ahead, the expected lower third quarter sales resulted in a reduction in our margins. The supply chains for our raw materials are greatly improved compared to last year, though shipping lead times are still not quite back to the levels seen pre-pandemic. Pressures also continue around certain inflationary impacts, most notably energy costs in Europe. Our response to all these challenges is our ongoing commitment to operational excellence, which continues to drive efficiencies and increase productivity throughout our operations. Positioning in advance for the build rate growth ahead is critical, both for Hexcel and our customers to avoid disruptions and to replenish the supply chain. The commercial aerospace industry is on a fast-paced journey to ramp the build rates of modern lightweight aircraft. Over the next three years, build rates for narrowbody aircraft are expected to increase by nearly 50% and build rates for widebody aircraft are expected to almost double. This is both a challenge and a great opportunity, and Hexcel is determined to be ready to ensure our products are produced efficiently and delivered on time to our customers. The forecasted cash generation over this period will provide significant capital deployment opportunities in the coming years, while we continue to maintain strong discipline around our balance sheet structure. This is truly a great time to be in the business of manufacturing lightweight composite materials. Now let me highlight some of the third quarter results, and Patrick will then provide more detail on the numbers. Commercial Aerospace sales of almost $252 million increased more than 19% in constant currency compared to the third quarter of 2022. The strongest growth came from the Airbus A350 and Boeing 787 widebody programs. Narrowbody sales were relatively flat year-over-year, reflecting some temporary disruptions in the overall aerospace supply chain. While each quarter, we highlight the strongest programs from Airbus and Boeing, remember, we have great positions in the business jet segment. Other Commercial Aerospace increased more than 20% in the third quarter on continued strong business jet demand.  Let me highlight a couple of additional points. First, the combined Airbus, Boeing backlog currently stands at a record 13,775 aircraft. Airlines are securing their place in line that is 8 to 10 years long as they plan to replenish their fleets with new efficient, lightweight aircraft. Virtually every OEM out there is ramping as fast as the supply chain will allow.  Commercial Aerospace is booming and demand remains strong, perhaps stronger than ever. Lightweight materials for fuel-efficient aircraft are being pulled harder than I have seen in my 14 years with Hexcel, and the reason is clear, making flying platforms light and strong is the number one enabler for both performance and sustainability, and Hexcel is at the leading edge of developing and producing these technologies. Secondly, we recognize that while the next narrowbody program might not have a scheduled launch state, material selections for those aircraft are several years in advance of launch, and that time is now. We have tremendous efforts underway as we pursue those opportunities with our customers. Turning to Space and Defense. Sales of almost $129 million increased 17% in constant currency, with broad-based growth across a number of military platforms globally, including classified programs. Defense spending is on an upward trajectory in many countries as governments raise budgets in response to the growing instability and increased number of conflicts occurring around the world today. In August, it was announced that the U.S. Navy awarded Sikorsky a $2.7 billion contract to build and deliver 35 additional CH-53K helicopters. And that's good news, both for our customers and for us. As you know, the CH-53K is becoming one of our top defense programs. Also in August, we celebrated the landing of the Chandrayaan-3 on the moon. It was the first lunar probe under the program launched by the Indian Space Research Organization, and our Hexcel lightweight advanced composites were on board. Now turning to Industrial. Sales of about $39 million decreased 21% in constant currency, attributed primarily to lower wind energy sales. Globally, the wind energy remains -- wind energy industry remains challenged. Our legacy wind business is now focused in Austria, which continues to deliver to our largest wind customer, Vestas. Other parts of our Industrial business continue to grow, most notably automotive, which has increased year-over-year and now is the largest sub-segment for us in Industrial. Our presence in high-end sports cars and SUVs as well as carbon fiber wheels is growing, pulling through high value-added composites materials. Other areas such as marine, electric vehicles and hydrogen pressure vessels, where there is a need for value-adding advanced composite solutions, are also being explored. Year-to-date, total Hexcel sales of more than $1.3 billion are up more than 15% year-over-year in constant currency, and EPS is up more than 50% to $1.38 at the end of September 2023, from $0.88 this time last year, all of which reflects positive momentum and underpins our confidence in continued strong demand and growth. As evidence of that confidence, we completed a stock buyback of $30 million during the third quarter. Lastly, our sales, EPS and free cash flow guidance remains unchanged for 2023. Now I'll turn it over to Patrick to provide more details on the numbers.
Patrick Winterlich: Thank you, Nick. As a reminder, the majority of our sales are denominated in dollars. However, our cost base is a mix of dollars, euros and British pounds as we have a significant presence in Europe, including both manufacturing and R&T. As a result, when the dollar strengthens against the euro and the pound, our sales translate lower, while our costs also translate lower, leading to a net benefit to our margins. Conversely, a weak dollar is a headwind to our financial results. We hedge this currency exposure over a 10-quarter horizon to protect our operating income. As a result, currency changes are layered into financial results over time. As a reminder, the year-over-year sales comparisons I will provide are in constant currency, which thereby removes the foreign exchange impact to sales. Our Q3 sales were impacted by the expected seasonality we previously highlighted as well as some general challenges in the commercial aerospace market supply chain. However, as Nick described, the outlook for Commercial Aerospace remains extremely robust, providing us the confidence to position our infrastructure and workforce for the anticipated strong growth ahead. Turning to our three markets. Commercial Aerospace represented approximately 60% of total third quarter sales. Third quarter Commercial Aerospace sales of $251.9 million increased 19.2% compared to the third quarter of 2022, led by growth in the Airbus A350 and Boeing 787 programs. Total narrowbody sales, including the Airbus A320neo, Airbus A220 and Boeing MAX were unchanged year-over-year. The other commercial aerospace category grew 20% with business debts displaying the most significant growth.  Space and Defense, represented approximately 31% of third quarter sales and totaled $128.8 million, increasing 17.1% from the same period in 2022. Sales strength came from a variety of different programs, including a number of international fixed-wing aircraft programs and domestically from growth in classified programs. Industrial comprised approximately 9% of third quarter 2023 sales. Industrial sales totaled $38.8 million, decreasing 21.3% comparing to the third quarter of 2022. The high-end automotive market, which is where we focus, grew strongly year-over-year, while wind continued to weaken. The global wind industry is currently facing a number of challenges, and we are experiencing lower demand as a result. As a reminder, all of our wind energy production and expertise is now concentrated in Austria following our restructuring in North America and China. On a consolidated basis, gross margin for the third quarter was 21.8% compared to 22.4% last year. With the anticipated strong growth ahead, the company has infrastructure and headcount in place to meet the forecasted high levels of demand and ensure our customers are fully supported as aircraft build rates continue to ramp. This growth related overhead, however, is a headwind in the short term, impacting margins, particularly in periods with lower run rate sales such as we saw in the third quarter. As a percentage of sales, selling, general and administrative expenses and R&T expenses, were 11.6% in the third quarter compared to 11.1% in the third quarter of 2022. The increase reflects the necessary infrastructure for new commercial growth as well as supporting the R&T organization with new product development. Adjusted operating income in the third quarter was $42.8 million or 10.2% of sales, compared to $41.2 million or 11.3% of sales in the comparable prior year period. Due to our hedging program, foreign exchange rates had no impact on third quarter adjusted operating income when comparing to the prior year. Now turning to our two segments. The Composite Materials segment represented 81% of total sales and generated an operating margin of 12.3%. The operating margin in the comparable prior year period was 13.4%. The Engineered Products segment, which is comprised of our structures and engineered core businesses, represented 19% of total sales and generated a 7.8% operating income margin as compared to 8.3% in the comparable prior year period. Net cash provided by operating activities was $98.1 million year-to-date compared to $56.4 million for the comparable period in 2022. Working capital was a cash use of $112.1 million year-to-date to support higher sales. For the comparable prior year period, working capital increased $115 million. Our strong focus on disciplined working capital management continues, as illustrated by the inventory reduction in the third quarter despite the lower revenue. Excellent performance on collections also supported third quarter working capital reduction. As just mentioned, our focus on inventory is becoming evident with raw materials decreasing approximately $20 million on a sequential basis as we purposefully reduced our buffer or safety stock. As previously discussed, our supply chain and input lead times have improved significantly from the first half of 2022. We continue to target further inventory reductions. Capital expenditures on an accrual basis were $88.7 million year-to-date in 2023, which included the previously disclosed property purchase for our facility in Massachusetts. Without the property purchase in 2023, capital expenditure would be $50.7 million, which compares to $49.1 million in the prior year period. Free cash flow for the first 9 months of 2023 was $3.7 million, which includes the Massachusetts property acquisition, but does not include the proceeds from the Colorado facility sold in the third quarter. For the comparable prior year period, free cash flow was negative $1.9 million. The Board of Directors declared a $0.125 quarterly dividend yesterday, payable to stockholders of record as of November 3 with the payment of November 13. We repurchased approximately $30 million of common stock in the third quarter. The remaining authorization under the share repurchase program on September 30, 2023, was $187 million. The company's net debt-to-EBITDA leverage was approximately 1.8 times at the end of the third quarter. We are maintaining our 2023 guidance, except for adjusting the estimated annual tax rate due to some favorable law changes domestically and internationally. Our 2023 estimated annual effective tax rate is now 21% compared to 23% previously. As a reminder, our sales guidance is $1.765 billion to $1.835 billion. Our adjusted EPS guidance is $1.80 to $1.94. And free cash flow is guided to be greater than $110 million. With that, let me turn the call back to Nick.
Nick Stanage: Thanks, Patrick. Most of you know that we have a significant presence in Morocco. We are deeply saddened by the loss of life following the earthquake last month that tragically devastated parts of the country. Fortunately, all our employees in that region are safe and our engineered core operations in Casablanca remain fully operational. As a final note, I want to share that our leadership team and members of our Board of Directors spent time earlier this month with our R&T team reviewing new products and processes in development, and we couldn't be more excited about the future of Hexcel's technology offering and the tremendous potential impact those advanced lightweight composites will have in enabling the reduction of CO2 emissions in the environment through greater fuel efficiency and modern aircraft and other forms of transportation. As you may remember from our comments in the past, we meet with our R&T leadership team every year, and this year, it was a pleasure to meet for the first time at our new Center of Research and Technology Excellence in Salt Lake City. While these meetings dig deep into data and the details of fiber tensile strength, modulus and the chemistry of precursors and resins, one simple fact always emerges from these technical discussions and that is our customer aligned approach to product development is a key differentiator for Hexcel. We innovate based on the collaboration and continuous dialogue we have with our customers. When we develop new products, we know the application and customer expectations, which make us highly efficient. Our engineers and researchers have daily conversations with customers as we work closely with them to develop the next generation of lightweight solutions. These customer engagements are now deeper than ever, and we are fully aligned with their road maps as we design new lighter and stronger materials especially for improved fuel efficiency and life cycle costs. We are firmly convinced that the key to improve sustainability is light weighted, that composites are a prime enabler, and Hexcel is the world's leader in providing lightweight sustainable materials for the aerospace, space and defense and select industrial markets. Paul, we're now ready to take questions.
Operator: [Operator Instructions] We'll go first this morning to Matt Akers at Wells Fargo.
Matt Akers: Thanks for the question. Maybe just to put a finer point on the margin discussion, I guess so margins down year-over-year even though sales were higher. Is most of that because of this kind of cost issue of you basically hired people ahead of the demand coming through? Or is there any sort of mix issue or anything else that sort of impacted margins for the quarter?
Patrick Winterlich: Yes. I think -- good morning. It's much more to do with the gradual infrastructure and cost base that we've been building and putting in place, quite honestly, over the last several quarters, really to be ready for the really strong growth that we see, and we've just called out over the next sort of couple of years. We're running more lines, as Nick called out in his part of the comments, but perhaps they're not all efficient, they're not sort of at the utilization level individually that we would like.  And we have more people, and we continue to train and upgrade that experience as we go. And so we're carrying that higher level of overhead, if you like, infrastructure in the company for the future growth, and it's going to take time to really get a top line that really pulls all that product, production and all those sales through to really drive the margins. And certainly, when you have a quarter as we have forecasted as our third quarters are, reduced by the European seasonality impact, then you see the margin headwind that we saw. It was much more of that in the third quarter than anything to do with mix.
Matt Akers: Okay. Understood. And then I guess some of the, I guess the industry supply chain is you mentioned flat narrowbody year-over-year. Is any of that, I guess, driven by Hexcel supply chain you think so? Or is it more demand from your customers? And do you have any view on sort of how long that linger effect could go lasts in 2024?
Nick Stanage: Yes, Matt. So basically, the challenges that the OEs are dealing with are certainly not related to Hexcel. We're in a great position with capacity and resources available to meet their growing demand and their projected growing demand. There are a few issues out there that really are limiting the ramp rate on the growth, where the OEs want to take the narrowbody and the widebodies. And it just slowed it down a little bit, caused some inspections and reworks within that supply chain. And my perspective is that these will be resolved. And given the demand and the pull for those new lightweight narrowbody and widebody aircraft, the rates are going to continue to go up, and that's what we're positioning for is strong '24 and '25 build rates and growth for Hexcel.
Matt Akers: Great. Thank you.
Operator: We will next go to Gavin Parsons at UBS. One moment gentlemen, it looks like we actually lost Mr. Parsons. We'll go next now to Ken Herbert at RBC.
Ken Herbert : Yes, hi. Good morning, Nick and Patrick. Maybe just to put a finer point on the margin question. If you had sort of seen the increase in narrowbody volume that maybe been contemplated earlier in the year, would we have seen the same kind of margin impact year-over-year? Or how much of a factor was basically flat volume on the narrowbody side?
Nick Stanage: Well, let me start. Clearly, increased demand on the narrowbody would have helped, but it would not have changed our position and the fact that in the environment we're in, after taking our assets down to the low point we did at the pandemic to preserve cash and to position for a strong viable future, we knowingly took out 35% of our resources in our heads. In today's hiring environment, with the unemployment where it is, with the pull for talent globally, we had to get ahead of the hiring, and we do that intentionally so that we can train them, and as the growth comes, we can get the efficiency back to and above 2019 levels. And I have to tell you, the third quarter, we're seeing our efficiencies come up. And as that demand and that growth continues to pull through for Q4 and into '24 and '25, we're expecting to convert very strongly on that volume. So to answer your question, Ken, it would have an effect, but it wouldn't have negated the seasonality and the lower demand.
Ken Herbert: Okay. And I guess, I mean, you seem to be on a fairly nice trajectory when we look at the gross margins. We can appreciate the seasonality. But was there anything else that maybe deteriorated in the quarter as you think about maybe costs in Europe or logistics or other aspects of the supply chain that maybe push you to see sort of greater inefficiency or maybe take a more sort of cautious view on sort of your own pull forward of cost to support future rate ramp?
Patrick Winterlich: I mean, absolutely nothing to make us more cautious on the future opportunity and the future ramp. Now obviously, we're cognizant of what's happening with the narrowbodies and the challenges that Nick talked to in that space. I think they're well known. And obviously, we are ready to support both Airbus and Boeing as they move the 320 and the MAX rates up, and we are certainly ready to do that, and we will not be causing any delays. In terms of the cost, it's really about the overhead base and the overhead leverage ability. Given the volume of sales, there isn't anything specific I would call out on the cost front. It's as I was saying to Matt, it's really about that gradual buildup in our infrastructure, in our workforce ready for the clear growth ahead. And we are not going to be late for that. And so aligning those two things is never perfect. And so our cost base is perhaps just a little bit ahead of the sales growth, but we're going to be ready. And when that comes, we will generate the margins, and we will generate the cash.
Ken Herbert: Great. Alright. Well, thank you very much. 
Operator: We'll go next now to Myles Walton at of Wolfe Research.
Myles Walton : Good morning. Patrick or Nick, I'm not sure, but maybe just to clarify, was the margin performance in the quarter about as you expected? And then maybe just looking forward, Nick, you're talking about the growth that you're sort of building towards, is it still fair to think about a double-digit growth into next year? And then the margin profile of getting to mid-teens at $2 billion in sales, is that still on the table?
Patrick Winterlich: Yes. So the margin in Q3 was close to what we expected, yes, because we probably saw the seasonal sales, or we recognized it perhaps more than it was externally recognized. So the margins were not a long way off what we expected, perhaps a little bit softer, but not a lot. Looking forward, over the next couple of years, we see strong double-digit growth for a couple of years now in front of us, with 2025 getting sort of back to where 2019 was. That should be the expectation out there. In terms of the mid-teens margins, we're strongly going to be pushing for that, and we will get there once we line up our cost base with the right level of sales. We've got to do the training. We've got to have the infrastructure, but our ability to get to mid-teens once the revenue comes, and once -- I mean we should be able to push past it ultimately is what I'm trying to say, Myles, back to where we were. We -- that's not going to happen tomorrow, but that's definitely the target on the table, and we're not taking that away.
Myles Walton: Got it. And just clarifying on the industrial side, I've always thought that as that business as being lower margins than the core. But it might be getting to a point where the margins -- the sales are so low that it's actually a net drag on profit. Can you just give us a color of the profitability of the Industrial business at this point in composite materials?
Nick Stanage: So I'll take a shot at, first, splitting it and let's talk about wind for a minute. And again, remember, the wind technology transitioned to a lower technology and one that we chose not to pursue. And that resulted in us restructuring in North America as well as China. So we're serving the wind market out of our facility in Austria and supporting Vestas and a couple of other small ones. Remember, wind is less than 2% expected of Hexcel's total revenue this year. And it is at a lower margin, a lower cost to serve, a decent return on invested capital, but a lower margin profile. On the balance of the industrial, the automotive, the select areas that we find niches to introduce our technology and differentiated solutions, the margin really is not dilutive to Hexcel. And perhaps in some of those high-end automotive and niche applications, when we do fall off on sales a little bit because of inflationary recessionary pressures on rec or winter sports or some of those other markets, it could have a slight dilutive effect on the margins.
Myles Walton: Okay. Thank you.
Operator: We'll go next now to Gavin Parsons at UBS.
Gavin Parsons: Hey, good morning. Can you guys hear me? 
Patrick Winterlich: Good morning. 
Nick Stanage: We can. 
Gavin Parsons: Thank you. Sorry for the tech issues. Apologies if I missed this, but can you talk a little bit about how much the capacity step-up is what growth rates you kind of hired ahead for there? And how much of the double-digit top line revenue growth is now already in the cost base?
Nick Stanage: Well, first, we're continuing to bring up assets, just to roughly calibrate, you think of 2019 of us as us running close to capacity, we'd never be at 100%, but think of mid-90%s. And if you think about our ratio of sales today to where we were then, think of our assets being utilized at about 75%. That will give you a good proxy for where we are with respect to utilization. Some plants, that means we have some lines still down. Some plants that may mean we have a line up, but aren't running it at 100% of capacity, meaning we may have more positions that we could turn on, which make it much less efficient, but the right thing to do so that we don't overbuild inventory and to optimize our cash position going forward. So from an asset base, in the fiber specifically, we have brought in a lot of assets, a lot of resources over the last 3 to 6 months. And that fibers is one of the big drivers within Hexcel from a cash, from a profitability generation. And there, I'm not going to say we don't have to add a few people, but basically, most of our lines are running now where we see them for the next 6, 12, maybe even a little bit longer. So we feel like we're in a great position there. Other plants depends on the technology, whether it's prepreg or blending or core engineered products, there may be select adds here and there. But overall, we're entering -- we're going to enter 2024 in a very strong position to deliver on that demand.
Gavin Parsons: Great. I appreciate that detail. And then on buybacks, is your anticipation there that as your cash flow strengthens, you'll do something regular? Or was that an opportunistic purchase in the quarter?
Nick Stanage: Well, we constantly look at our capital structure. And we're back into the range where we like to operate our net debt leverage ratio in the 1.8 region. So we review that with the Board on a regular basis with respect to what opportunities are there for collaborations, what areas do we have with respect to internal investment? And then what's our opportunities with respect to dividend strategy and share buyback? So it really was an opportunity for us to undilute what we issued in 2023. Clearly, given our leverage position and our increased cash flow forecast, we're going to be looking at that much more actively going forward.
Gavin Parsons: Thank you. 
Nick Stanage: You’re welcome. 
Operator: We’ll go next now to Peter Skibitski at Alembic Global.
Pete Skibitski: Yes, good morning, guys. I just wonder if you could kind of give us a sense of your outlook for Space and Defense as we head into next year because the last couple of quarters, you've been running really strongly there, and the trends seem pretty positive. You got CH-53K coming through the pipeline pretty good there. Can you grow -- I mean you may be up double digits this year in Space & Defense, I'm wondering if you can do it again next year. Thanks.
Patrick Winterlich: Yes. I mean, we've stepped up. I mean I think last quarter was a record quarter, all-time record quarter for Space & Defense with the seasonality. We came off that a little bit in the third quarter, but we've seen sustained strength in that market. And we've really had a couple of years with very high, very strong growth. Now it depends what time frame you're looking at. I mean if you kind of look over the next 2 to 3 years, we're going to see a lot of growth over that period. The F-35 for us still has room to grow. The CH-53K is going to grow substantially. There are European programs, which is strong, and we're across such a broad range with the military budgets moving the direction they are. Now I'm not going to say it's going to be double digits every year, but over the two, three years, Space & Defense is going to continue to be a very strong sector for Hexcel, and I'm [technical difficulty] in further growth.
Pete Skibitski: Any risk to Defense program revenue in the next couple of years that you see in the past? Is it just budgets passing on time or any other risks that we should think about?
Patrick Winterlich: I mean I don't want to be complacent. There's always budgetary risks. But right now, I think this is one of the strongest sort of periods, healthiest periods, if you like, for Space & Defense and looking forward we've seen for a long time. So as confident as we can be without absolute guarantees. We see growth in the next couple of years in Space & Defense.
Pete Skibitski: Okay. Thank you.
Operator: We'll go next now to Kristine Liwag at Morgan Stanley.
Kristine Liwag: Great. Nick, and Pat, it's clear from your commentary that you've invested in headcount and infrastructure ahead of the OEM, but can you provide an update on which specific production rates you can support today for the 737, 787 and A350?
Nick Stanage: Well, first, I'll tell you, we're aligned with our customers, and we're flexible and going to continue to stay aligned. If you look at the -- let's start with Boeing on the MAX. We're in the low 30s and clearly, Boeing is working hard to transition up to 38. And we have that capacity, and we have -- we'll share more on what specifically we're putting in our 2024 plan, but we'll be prepared to do that, as well as hitting 50 in the 2025, 2026 timeframe. 787, we're at 4 to 5, and clearly, Boeing intends to go to 10 by '25, '26 timeframe. So we're -- there's going to be a gradual ramp-up there. I'll let you pick the number for '24 and getting to the 10 and 26. But you could estimate a pretty linear stable transition, which is what the OEs have done for the last several years when they're ramping up rates. If you look at Airbus, we're in the mid-50s. And again, I'm looking in total for the year, I'm not looking at Q3. We were much lower than mid-50s in Q3, with a ramp rate up to 75 in 2026. So Airbus really is not giving specific milestones on the incremental positions in '24 or '25. So again, if you just draw a straight line along that curve, we'll be aligned with that, and perhaps we'll share more when we provide 2024 guidance. And the A350, we're at 6. Airbus has been candid that they're moving to 9 by the end of '25. And again, it's a great program for us. We have great shipset content, and we're looking forward to continued widebody order intakes, which have ramped up a lot of momentum on the widebodies based on the need for improved efficiency and longer routes because of some of the pattern changes. So that kind of gives you a little color on where we are versus what we're positioning for in the '24, '25, '26 timeframe.
Kristine Liwag: Thank you for the color. And maybe a follow-up question on wind. Pat, you mentioned that wind transitioned to a lower technology that Hexcel decided not to pursue. So how much revenue is left in wind in Austria? And how much more of a step down do you expect?
Nick Stanage: Well, let me take that. Again, our largest wind customer is Vestas -- has been Vestas. And Vestas has been the market leader, and we've done business with them for 20 -- probably 20-plus years with plants positioned to support them very well. They were vertically integrated. They produced their own blades. They had differentiated technology, and that model worked for many years. Vestas decided that they needed to refocus their business and they decided blades were not core, so they went more to an outsourcing model, which pushed the technology more to a commodity type infused glass prepreg infused material, not a prepreg, but an infused material. And that really didn't fit our strategy going forward. So the new blades that are being -- the new wind turbines that are being developed by Vestas and many others, utilize outsourced blades made utilizing commodity-type technologies the way we define that space. If you look at our current business, we've got a nice book of business, the legacy business, which is served out of Austria, serving Vestas, Europe. And again, there's some challenges in that market related to inflationary pressures, regulatory pressures that have softened demand, but we still have our positions, and we think there's a long tail on that demand profile that will go on for several years, although at a much reduced run rate level from where Hexcel was two, three, four years ago.
Kristine Liwag: I really appreciate the color. Thank you. 
Operator: We'll go next now to John McNulty at BMO Capital Markets.
John McNulty: Yes, thanks for taking my questions. So I guess the first one is just on the implied fourth quarter range, which is actually -- it's pretty broad. I mean it's toward the end of the year. But I guess, can you help us to understand what puts you at the low end of that range, which is implied about $0.42 or so? And what would put you at the higher end of the range at $0.56? Can you help us to think through the puts and takes there?
Patrick Winterlich: Yes. I mean the biggest put and take is clearly the top line, John. I mean, we've obviously got the midpoint at $1.8 and $1.87 as you can see. And I guess that's where we're really focusing, and that's what we're targeting to deliver for the year. But we're also recognizing there is uncertainty in the aerospace supply chain right now, and that could pop to the positive this quarter if things suddenly align and we get a pull-through material to support the ramp rates that we know the OEMs are trying to do. But likewise, as we've seen several times over the last couple of years, there are bumps and hiccups in this aerospace supply chain as the world sort of starts to normalize and get back to where we were pre-pandemic in sort of an efficient flowing industry. So we're focusing really on the midpoint as our target to deliver, but we've left the range wide because we do -- unfortunately, we recognize that there are still risks and challenges out there. Now that could fall in our favor, but we certainly wanted to recognize that there could be headwinds.
John McNulty: Okay. And just to be clear, would you say the midpoint of the range reflects kind of status quo on the supply chain or modest improvement? Or I guess, how should we think about that?
Patrick Winterlich: I would -- well, it certainly is -- it's not a seasonal -- it's not another Q3 season. It's a return to sort of a more normal run rate of sales not seasonally impacted. And then, yes, hopefully, it's the current, if not less, slightly less of supply chain issues. But more or less where we are today without the seasonality is how I would describe it.
John McNulty: Got it. And then maybe just as a follow-up question, you spoke to pulling back on inventory and a bigger focus there. And I think you'd mentioned a $20 million sequential improvement. I guess, how much farther do you think you can pull back on those rains while still being ready for what potentially is a bigger ramp-up from some of your customers as you look to 2024?
Patrick Winterlich: Yes. So the $20 million sequential pullback was specifically on raw materials. Overall inventory was down about $4 million. So we saw a little bit of growth in other areas, but there was a reduction, and obviously, the starting point is raw materials. We will continue to be aggressive and disciplined around inventory. I think we've spoken to it a few times. The real metric we're looking at is the relative days of inventory that we hold. And so the first objective is to allow our sales to grow certainly into next year and beyond that and hold this level of sort of dollar inventory. Now we will look to squeeze it in the fourth quarter. I think there's some opportunity to do that. But most importantly, it's really holding this level of inventory as our sales grow and essentially improving the days holding fairly significantly over the coming sort of periods.
John McNulty: Got it. Thanks very much for the color. 
Operator: We'll go next now to Scott Deuschle at Deutsche Bank.
Scott Deuschle: Hey, good morning. 
Patrick Winterlich: Good morning, Scott.
Scott Deuschle: Nick, is there any opportunity to open the door with OEMs to discuss the prospect of getting some better price given the inflation that's out there, kind of like some of the other OE suppliers have been able to achieve? Or is that conversation ultimately a nonstarter given that you're still generating some nice profitability here? Thank you.
Nick Stanage: No. So I think our team does a great job on getting price and value pricing our products for what it does for our customers. Remember, in a lot of the commercial aerospace programs, we have long-term agreements where we have indices and formula that help protect both us in inflationary, increased cost scenarios or raw material inputs, and it protects our customers where it's declining.  So there tend to be a lag, but overall, we constantly look to help our customers with their productivity initiatives. We do that through driving productivity through our systems and identifying new opportunities to leverage our growth. So I'd say we certainly have other areas that aren't on long-term contract, and our team worked those very hard, especially in the Industrial segment and some other smaller niche areas where we are able to get price based on the environment we're in today.
Scott Deuschle: Okay, great. Thank you.
Operator: We go next now to Gautam Khanna at TD Cowen.
Gautam Khanna: Hey, good morning, guys. 
Patrick Winterlich: Good morning, Gautam.
Gautam Khanna: I was wondering if you could just talk a little bit about the components of the implied Q4 free cash flow. And is there any efforts underway to maybe make it a little more linear because last couple of years would have been pretty back-end loaded?
Patrick Winterlich: I would say, historically, for better or worse, Gautam, our cash flow tends to be back-end loaded. It's sort of the flavor of our business. In terms of Q4 this year, it's obviously going to be driven by an income number, which we're going to push to drive to the guided EPS. We're going to manage working capital tightly, as I was just saying. I think there's some opportunity around inventory. We will drive receivables collections very strongly as we always do in the fourth quarter, and we will manage payables.  So it's really just about sensible cash discipline. We're managing capital. As we've called out several times, we don't have sort of huge capacity requirements. We continue to bring up lines and to reutilize existing assets on the whole. And we'll see that again in the fourth quarter and into next year. So we believe -- I mean we did virtually $100 million Q4 last year. We believe we can -- we will deliver that again this year.
Gautam Khanna: Thank you. And just I was curious also if this year -- this quarter had a little bit of dampening on the margins on the hiring a head and the like. Maybe if you could just describe some of the onetime things this year that -- like tooling, for example, I think that was called out in prior quarters. Is there anything else that you view as nonrecurring that kind of make the comparisons a little easier for next year, besides what we discussed in Q3?
Nick Stanage: There really were not material one-timers. The hiring and the efficiency improvements that we're driving in the plants and bringing people in, again, I think we've shared that some of the positions in our fiber business take 9 months to a year to get to a minimum efficiency level for an operator to be able to work alone on the line. I would say there's some added effort going on with the CH-53K ramp and the first articles. And that program is really just starting to ramp up. So we're clearly not as efficient in the engineered structures area there as we will be as those first articles are complete, the qualification is complete, and we streamline the deliveries to our customer. Other than that, we continue to work hard on recruiting and finding top talent. And the team has been very successful, but it's hard work, and it takes a little bit longer. And the attrition is a little bit higher than it had been pre-pandemic, and you have to build all that in. And again, when you're full source for key programs, you can't be sure. And that's really what drove us to make sure we're not short and we have that capacity in place. So we've talked about that. Other than that, there really are no other one-timers that we're going at and attacking other than operational excellence and efficiency.
Gautam Khanna: Great. Thank you, guys. 
Operator: We'll go back to now to Sheila Kahyaoglu at Jeffries.
Sheila Kahyaoglu: Thanks so much. Good morning, Nick and Patrick. So maybe first question on Defense & Space, really good performance there on the top line. Can you maybe talk about the profitability within Defense & Space business as you ramp on some of these programs and their delta in space there?
Patrick Winterlich: Yes. Sheila. I mean, Space & Defense is very similar to Commercial Aero in terms of its profile profitability. It contains a fair amount of Hexcel carbon fiber. And as we've called out before pulling through Hexcel carbon fiber in a mix of sales is good. So we generate good earnings, good margins. We have quite a lot of engineered core and honeycomb in some of our military applications, all the way through to the technology work, there's a business we acquired in early 2019. So overall, the profitability profile with those strong sales is good, Sheila.
Sheila Kahyaoglu: Great. And then maybe, Nick, one for you. In your prepared remarks, you mentioned investing in new programs years in advance of them coming to market. Can you talk about how that could manifest itself in your P&L?
Nick Stanage: Yes. So -- boy, there's so many areas and having just gone through our R&T review, I can tell you, from a performance standpoint, we have several initiatives related to our fibers and the efficiency of our lines and the mechanical performance and the throughput, which, as you know, we have many lines and we replicate that. So it translates into a big opportunity and a big boost for Hexcel. So our improvements, our initiatives are certainly performance based, but they're also processing based. How do we help our customers process materials so that they can lay down materials faster, they can cure them faster, and ultimately drive to a lower life cycle cost and a better efficiency for them? So there's not an area within our portfolio, whether you're talking about fibers or resin systems or prepregs or infusion products or other new technologies that were not really ready to disclose yet are being worked aggressively with our customers. And again, there's a lot of pull for the improved performance, the improved throughput and the improved cost effectiveness.
Sheila Kahyaoglu: Thank you.
Operator: And it looks like we do have time for one more question this morning. We'll take that now from Michael Ciarmoli at Truist.
Michael Ciarmoli: Hey, good morning, guys. Thanks for taking the question. I don't know, Nick or Patrick, but as we think about sort of the margins and the capacity additions, you're not going to give guidance here for '24. But is this excess overhead in terms of adding capacity and labor, is that going to be a drag in the '24 as well?  I mean presumably, if you -- rates are increasing and you got to have more additions next year, I mean, do we have to look more out to '25 or '26 by the time you get to that kind of stated margin? I mean, it looks like, I guess, Streets got you at 15.5% margins next year. And just thinking about supply chain challenges and what we just saw here, just -- should we expect a little bit of a headwind in the next year as well?
Patrick Winterlich: I think -- I mean, as I said, I think to Myles earlier, I mean we're still confident to target the mid-teens margins as we build our revenue. Now lining up as you're alluding to our cost base with the topline and getting those two things in sync and you kind of tailor into that some of the inflationary pressures that we certainly saw this year around energy, which has certainly been a headwind and perhaps a little bit of labor above the norm, but I wouldn't know to play the labor part. But we remain confident in the general outlook that we are going to get to those mid-teens margins.  We are going to generate a lot of cash over the next two, three years, as Nick called out in his part of the script, is going to sort of allow a lot of capital deployment opportunities, which we would look to do as wisely and smartly as we can. So we will manage quarter-by-quarter. You're absolutely right. We're not going to guide here to 2024, but we remain optimistic, very optimistic on the general outlook.
Michael Ciarmoli: Got it. Thanks, guys. 
Operator: Thank you. And ladies and gentlemen, that will conclude the Hexcel third quarter 2023 earnings conference call. We'd like to thank you all so much for joining us today and wish you all a great remainder of your day. Goodbye.